Renee Bouche: Good afternoon, it is Tuesday, April 14, 2015, and on behalf of Simulations Plus, I welcome you to our second quarter fiscal year 2015 financial results conference call and webinar. Company President Ted Grasela will be presenting this afternoon. Joining Ted are Chairman and CEO Walt Woltosz, Chief Financial Officer John Kneisel, and Vice President of Marketing and Sales John DiBella. An opportunity to ask questions will follow Ted's presentation. [Operator Instructions] It's now my pleasure to turn the presentation over to Walt Woltosz, Chairman and CEO of Simulations Plus.
Walter Woltosz: Thank you, Renee, and welcome, everyone, to our second quarter and six-month fiscal year 2015 conference call. We’ve had an exciting six months with the combination of Simulations Plus and Cognigen. As part of that, those of you that have been following us will remember that I have cut back to 60% time, or trying to, and one of the ways that I’m doing that is to ask Ted to take over a number of functions, including investor relations. And so I’m going to turn the presentation over to Ted. I will hang on in case there are any questions that I need to answer, but for now, Ted, the floor is yours.
Ted Grasela: Thanks very much, Walt. Good afternoon everyone. I’m going to walk us through the financial results for the second quarter of this fiscal year, 2015, and then also give a summary of the first six months of this fiscal year. In terms of Safe Harbor statement, I know you’re all familiar with this. With the exception of historical information, the matters discussed in this presentation are forward-looking statements that involve a number of risks and uncertainties. The actual results of the company could differ significantly from those statements. Factors that could cause or contribute to such differences include, but are not limited to, continuing demand for the company's products, competitive factors, the company's ability to finance future growth, the company's ability to produce and market new products in a timely fashion, the company's ability to continue to attract and retain skilled personnel, and the company's ability to sustain or improve current levels of productivity. Further information on the company's risk factors is contained in the company's quarterly and annual reports and filed with the Securities and Exchange Commission. As an overview of Simulations Plus, we are a major provider of software and consulting services for pharmaceutical research and development companies. Our expertise and software tools span from the earliest drug discovery efforts through clinical trials and beyond patent life as we support generic drug companies. In addition, new applications are being explored in aerospace and general healthcare and I’ll speak about those briefly during the presentation. The acquisition of Cognigen Corporation in September 2014 more than doubled our workforce and is expected to add between $4.8 million to $5 million in revenue for fiscal year 2015. During today’s presentation, I’ll be presenting consolidated results and also give a breakout where warranted. Overall, for second quarter fiscal year 2015, revenues increased by 48.4% or $1.5 million to $4.6 million from $3.1 million in the second quarter of 2014. Further, gross profit increased by 33.2% or $860,000 to $3.5 million from $2.6 million in the second quarter of 2014. We have distributed a dividend of $0.05 per quarter and of course that’s subject to board approval at each quarter. Moving to some of the highlights comparing the second quarter fiscal year 2015 to the second quarter fiscal year 2014, and as a reminder, this quarter ended on February 28, 2015. Revenues increased by 48.4% or $1.5 million to $4.6 million, from $3.1 million. Cognigen revenues were $1.27 million, up about $140,000 over the prior quarter. Simulations Plus revenue increased 7.2% or $221,000 in the second quarter of fiscal year 2015 versus the second quarter of fiscal year 2014. Analytical study revenues increased $171,000 in this second quarter compared to the second quarter of last year. Simulations Plus revenue was affected by a $250,000 renewal order that slipped from the second quarter into the third quarter of fiscal year 2015 and that has been confirmed for the third quarter. Gross profit increased 33.2% or $860,000 to $3.5 million in the second quarter of this year compared to $2.6 million in the second quarter of last year. $737,000 of that increase is from Cognigen, which showed a 58% gross margin. Simulations Plus margin for the quarter was 82.1%, down slightly, 2.5%, from 84% in the second quarter of last year. The consolidated gross margin decreased to 75.4% from 84%, and that’s a result of the blending of margins on consulting revenue of Cognigen with higher software margins of Simulations Plus. SG&A increased 46.1% or $509,000 to $1.6 million from $1.1 million in the prior year. $539,000 of that increase is from Cognigen operating expenses. Simulations Plus SG&A decreased $30,000. Total SG&A decreased to 32.5% of revenue in the second quarter of this year from 35.8% in the second quarter of fiscal year 2014. Research and development spend and expenses remained fairly constant. Other revenue expenses decreased by $42,000 in the second quarter of this year versus last as a result of foreign currency fluctuations. I’d like to make a note that we recently made about a 5% increase to prices in our main Asian market and we do not anticipate this increase will have a significant impact on sales. This Asian market represents about 15% of software sales for the quarter. Net income increased by 19.8% or $160,000, to $970,000 in this second quarter compared to $810,000 in the second quarter of last year. $124,000 of this increase were earnings from the Cognigen subsidiary. Simulations Plus profit increase was affected by the $250,000 renewal order that pushed into the third quarter. EBITDA increased 45% to $1.97 million in the second quarter of fiscal year 2015 versus $1.36 million in the second quarter of last year. Diluted earnings per share was a little more than $0.05 in the second quarter, which represents an increase of $0.007 from roughly a little less than $0.05 in the second quarter of fiscal year 2014. If the $250,000 order had not slipped into the third quarter, earnings in the second quarter would have been $0.07 per share. We also distributed cash dividends of $0.05 per share during this past fiscal quarter. This table summarizes the income statement information that I just recently presented. And again, this table shows the income statement, breaking out Simulations Plus versus Cognigen. Now I’ll present the six months of this current fiscal year and compare it to the six months of last fiscal year, again for the period ending February 28, 2015. Revenues increased by 51.3% or $2.9 million to $8.7 million from $5.7 million in the six months of last year. Cognigen’s revenue over the six-month period was $2.4 million. Simulations Plus revenue increased 9.3% or $531,000, to $6.3 million in this past six months versus the six months in fiscal year 2014. Analytical study revenues increased 65% or $156,000 to $396,000 in this past six months, versus the previous six months. If this $250,000 order had not slipped to the third quarter, Simulations Plus revenue for the past six months would have increased $781,000 or 13.7% to $6.5 million. Gross profit increased 36.7% or $1.76 million, to $6.5 million in this fiscal year versus $4.78 million last year. $1.34 million of the increase is from Cognigen, which showed a 56% gross margin over that six-month period. Simulations Plus margin for the quarter was 83.1%, down 0.5% from 83.6% the prior year. Consolidated gross margin decreased to 75.4% from 83.6%, again the result of blending the margins on consulting revenue of Cognigen with the higher software margins of Simulations Plus. SG&A increased 69.2% or $1.5 million to $3.7 million from $2.2 million in the prior year. $1.1 million of the increase is due to Cognigen operating expenses. Simulations Plus SG&A increased $440,000 for this past six months, compared to last year. During the six month period, we paid roughly $400,000 in consulting fees associated with the Cognigen acquisition, which increased consulting fees for the period by [$351,000] compared to the first six months of fiscal year 2014. Commission expenses to our Japanese and Chinese dealers were up by $49,000, reflecting the increased sales in those markets. As a percent of revenue, SG&A increased 4.5% to 42.5% of revenue from 38% of revenue in the six months of fiscal year 2014. One-time consulting fees represented the majority of that increase. R&D spend was $1.25 million and remained fairly constant. However, the expense portion of R&D increased by $117,000 to $633,000. Other income expense decreased by $78,000 in the first six months of this year versus last. These were the result of foreign currency fluctuations and again, as I noted previously, we recently implemented about a 5% increase in prices to our Asian market, and we don’t anticipate that this increase will have a significant impact on sales. Net income for the first six months was $1.5 million, basically the same as the first six months of last year. During this period, the company paid out about $400,000 of expenses related to the Cognigen acquisition. And again, I note that there was a $250,000 renewal order that slipped into the third quarter. Diluted earnings per share was nearly $0.09 for the six months in fiscal year 2015, which represented a decrease of $0.004 from roughly $0.09 in the six months of fiscal year 2014. Again, if the $250,000 order had not slipped into the following week, earnings would have been approximately 0.09% higher, or $0.10 per share. This table represents a summary of the information that I’ve just previously discussed and again, the income statement broken out for Simulations Plus and Cognigen. Presenting here some selected balance sheet items. Note that the shareholder equity per diluted share has increased a bit from where it was at August 31, 2014, and the current ratio of 7.31 is still quite healthy. Cash as of April 10, 2015 was $7.3 million and I’ll share that again, trending compared to previous years, in a bit. This slide shows a representation of the countries that we’re deriving our consolidated sales. This represents both Cognigen consulting as well as Simulations Plus consulting and software sales. 59% comes from North America, 27% from Europe, 13% from Asia. And of that 13% in Asia, 78% comes from Japan, 15% from China, and 7% from Korea. South America represents less than 1% of sales. This slide shows the increase in new software customers by fiscal quarter for the last several years to demonstrate the increase in new customers. We picked up 20 new customers in this past quarter. Looking at the consolidated revenues of Simulations Plus and Cognigen by fiscal quarter. And again, you see the nice bump that Cognigen revenues provided this quarter, up to $4.57 million in revenue. Consolidated gross profit was also increased, again to $3.45 million for this past quarter. Also trending up is the consolidated EBITDA at $1.97 million for this current quarter. Consolidated net income was $0.97 for this quarter. This slide shows the cash on hand at different points in time over the last couple of years, as well as the amount paid in dividends at various quarters over the recent past. The decline here from $11 million to $7.8 million represents the $2.5 million that was paid out as part of the buyout of the [TSRL] loyalty agreement. And again, the decline from $8.6 million to $5.8 million represents the $2.1 million paid out for Cognigen. And you note that cash on hand continues to trend up over the last couple of quarters. In terms of Cognigen, we continue to market modeling and sales services to clinical pharmacology departments and this merger has coincided with the interest in our customers are asking for more detailed mechanistic modeling of clinical data similar to what can be performed using GastroPlus. And this is certainly in line with regulatory expectations who are looking for these modeling and simulation results to guide decision making during clinical development. We’ve also begun to make a much greater use of email blasts to our customers and beginning to make use of social media as part of our marketing efforts, emphasizing our QE functionality, which is Cognigen’s interface to a private and secure cloud service. Also, our modeling and simulation services and data assembly services that are required to support modeling and simulation efforts. We continue to piggyback onto Simulations Plus’s presence at national and international scientific meetings. In terms of sales, in the second quarter of fiscal year 2015, the total number of active projects at the end of the quarter was about 40. During this quarter, we acquired two new clients. These are people which we had not worked with previously. And we also acquired a number of new projects or expansions in the scope of projects to the tune of 18 programs. It is often happening that we get started on a project and then the client realizes the value of the modeling and simulation that we do, and it results in an expansion in scope, and that gets captured in a change order. Of the projects that we worked on in the second quarter, fully 25% of them were involved in regulatory interactions of some sort, wherein the client that we’re doing the work for is submitting our modeling and simulation results to guide regulatory decision making. Looking beyond second quarter of fiscal year 2015, at the current time we have 8 new clients in the pipeline and we’re looking at 4 new projects and/or expands in scope looking beyond the second quarter. In terms of KIWI licenses at the present time, we have 3. We have 6 prospects, which we have been presenting the software to and providing demonstrations, and we have a KIWI presentation that has been accepted for a modeling and simulation meeting called the [Page] meeting in June of 2015. We’re also working on a new version of KIWI, and we’re targeting the release of that version in June of 2015. In terms of Simulations Plus, there are roughly 2,500 companies currently registered with the FDA, and of that, we have about a 10% penetration with Simulations Plus products. In addition, Walt and our scientists have been working on two applications of our artificial neural network ensemble. One application is in the aerospace industry. We’re calling it Aero Modeler. And this technology can be used to predict aerodynamic force coefficients for missiles at arbitrary Mach number and analytic tack, also for recognition of missiles from radar tracking data. We will be presenting at three different aerospace conferences in 2015. We’re also working on MRI Modeler, which is an application of the neural network ensemble to analyze magnetic resonance imaging data to classify patients as healthy or likely to experience various disease states. And the team recently submitted an SBIR grant application to the National Institutes of Health in April. Updating you on our software product news, GastroPlus version nine is slated for imminent release. It provides tighter integration with the ADMET Predictor models and we will now enable our customers to create physiologic based [PK] models from structure, which means that the products will be even more useful to scientists working all the way from discovery into preclinical development. We’re also adding modules for modeling of biologics, which is an important new growth opportunity for biopharmaceuticals, as well as modules for dermal and oral cavity delivery of drugs. And this represents a new market opportunity for alternative delivery groups. ADMET Predictor version 7.2 is slated for release in April. It represents significant, improved, and expanded metabolism predictions, and a refresh of the user interface is slated for the fall 2015. Version four of MedChem Studio and version three of MedChem Designer will be released in May of 2014. These programs provide structural recognition and ultra-fast [learning] methods for large molecular libraries. DDDPlus, a new version is slated for release in the summer of 2015. And we’re working on integration of ADMET Predictor models to predict dissolution inputs from the structure, which will be a new optional add on. We’re also working on upgrading the handling of complex [unintelligible] forms and formulations. MembranePlus version one was released in November of 2014. This is integrated with GastroPlus to accurately predict [IB IDE] for absorption processes. The first license sale happened in the second quarter and there are 15 evaluations activated and ongoing. The annual license fee ranges from $10,000 to $15,000 for commercial use. The pie chart shows a breakdown of consolidated sales for the second quarter. 51% of sales come from renewals of our software licenses, 33% from consulting, 14% represents new sales of software, and 2% is for training. We added 20 new software customers during the second quarter. This includes new companies in the United States, Europe, Japan, and China, as well as new divisions in regulatory agencies across the world, including the FDA, the EPA, the Japanese version of the FDA, as well as the Chinese FDA. It’s important to note that software renewal rates from an account perspective was 89%. In terms of revenue, we had a 93% renewal rate. Our marketing program for our software and consulting services in the second quarter continued to focus on presenting at conferences and scientific meetings as well as in training and workshops. We attended nine scientific meetings and were co-authors on seven presentations at these meetings. We conducted a training workshop in San Diego to full attendance, and we have workshops scheduled for the remainder of the year in the U.S., Europe, and Asia. We have a number of ongoing strategic digital marketing initiatives. We hosted three webinars on our software updates and applications and drew 650 registrations for those webinars. We continue to actively update our LinkedIn, Facebook, Google, and Twitter accounts and we have 1800-plus followers of the company pages on LinkedIn. This represents a 35% increase since September of 2014. The GastroPlus user group now has over 616 members on LinkedIn, which represents a 32% increase since September 2014. Simulations Plus also has a number of important government collaborations. We completed the third year of a five-year renewable research collaboration agreement with the Center for Food Safety and Nutrition to provide model building capabilities to predict toxicities for a large number of substances that can be found in food as additives or contaminants. And the first peer-reviewed articles from FDA scientists on these model building capabilities was published in the second quarter of this year. We completed the first year of a five-year research collaboration agreement with the Office of Testing and Research to validate mechanistic absorption modeling and developing predictive in vitro/in vivo correlations. FDA scientists are going to host webinars in the third quarter of this year and we’ll be presenting at an October conference. We completed the first half year of a three-year funded collaboration to the tune of $200,000 per year with the Office of Generic Drugs to develop improved physiologic based PK models for ocular drug delivery, drugs delivered into the eye, and we need to reach milestones in order to receive full funding and we are on target to reach those milestones. We completed a second year of a three-year collaboration with the National Toxicology Program to utilize PV/PK and [QSAR] modeling to prioritize testing of compounds for the Tox21 program. So, in summary, for the second quarter and the six months of this fiscal year, revenues and earnings continued a seven-year-plus profitable trend. The Cognigen acquisition increases revenue and profits and expands our offerings into clinical pharmacology. Second quarter Cognigen earnings were $124,000, up from $40,000 in the first quarter of this current fiscal year. We continue to grow revenue and customer base. Consolidated revenue growth was 51% in the first six months since the Cognigen acquisition, and we added 20 new customers in the second quarter for a total of 43 new customers for the six months ending February 28. Earnings per share for the quarter were up $0.01 per share. This is unchanged compared to the prior year, even with the additional cost of the Cognigen acquisition and the large delayed order. We have a strong cash position and continue to return cash to shareholders. The company continues to pay dividends of $0.05 per quarter and cash dividends totaling approximately $10 million have been distributed, and our cash remains at $7.3 million as of today. Thank you very much, and we can now take any questions that you might have.
Operator: Howard [Halpern] has a number of questions. The first is, “Can you provide an update regarding Cognigen working toward penetrating the clinical pharmacology departments using ADMET Predictor and GastroPlus. Will your efforts translate into new products or enhanced service offerings to Cognigen customers, with added revenue and gross margin potential?”
Ted Grasela: This has been, without a doubt, one of the most deciding aspects of the post-acquisition interactions with Simulations Plus. Simulations Plus has not served the clinical pharmacology community in the past, and the clients that we work with as we talk through the problems that they’re facing, often find it valuable to bring Simulations Plus scientists into the discussion. And we have worked on a few projects over the last six months where we’re now using GastroPlus to answer these questions that would have previously been not available as a solution to Cognigen So I’m very happy about that, and I think that we’re going to continue to find new opportunities for that. At a clinical pharmacology meeting, I was describing the capabilities of ADMET Predictor to a number of clients, and they were interested in that ability to predict the metabolism of compounds. It wasn’t something that they were familiar with, and I think that represents an important place that we will be demonstrating the software in the future. Whether these efforts will translate into new products is unclear at the present time, but they can certainly enhance our service opportunities as we have seen. Regulatory agencies have been quite eager to entertain these in silico predictions of how problems are likely to play out in patient populations, and so I certainly see that we’ll be continuing to offer consulting services around these programs. And of course, as we increase sales revenue, we expect to increase our gross profit margin.
Operator: Howard has another question, and I believe you addressed this in your presentation. “What is the status of the KIWI offering, and can we anticipate future revenue streams from this offering?”
Ted Grasela: We have been continuing to talk with regulatory agencies about what their expectations are in being able to review complicated modeling and simulation results, and have received some tentative favorable comments with respect to KIWI capabilities. We are continuing to add functionality and the meeting that we’re about to attend in June of 2015 is a meeting where a significant number of scientists who perform modeling and simulation attend. So we plan to have a large presence at that meeting and continue to market the product. We’ve implemented a series of email blasts that focus on different aspects of KIWI and continue to push on its functionality.
Operator: The next question from Howard is, “How close are the aerospace and MRI offerings to obtaining revenue generating customers?”
Walter Woltosz: We submitted a proposal to the NIH recently under their omnibus grant, SBIR program. That’s one where they have a series of topics that they announced and asked for people to submit proposals that are generally addressing those topics. There is a specific topic for computer aided interpretation of imaging data from MRI and other scanning methods, so we responded to that, just submitted that one last Monday. [It will be months] before the evaluation process is completed, and when we know whether we have won a Phase I award. If we do, Phase I is $150,000 for six months, successful Phase I, and we believe we’re already successful in the efforts that we did before the proposal. But a successful Phase I could lead to a Phase II, which is $1 million over two years. On the aerospace side, we are in contact with a number of organizations in the aerospace industry, both military and industrial. We have some interest expressed. We have not yet identified any specific funding mechanisms such as an SBIR grant or a direct contract, but we are hoping that in the next few months, we’ll have something to announce on that front.
Operator: Howard’s next question is, “With regulatory agencies worldwide increasing their adoption of GastroPlus and ADMET Predictor, what are you seeing or anticipating to be the response by all the companies that must go through the regulatory submission process?”
Ted Grasela: It’s certainly a positive sign that the regulatory agencies are expressing interest in the software. In the past, when the FDA showed an interest in physiologic based PK modeling, the companies quickly followed suit, and there was a bump in terms of the number of applications to the FDA that included modeling and simulations. It is difficult to find a submission to a regulatory agency now that does not have modeling and simulation of some sort. The regulatory agencies, as well as the scientists who lead the drug development programs, have come to recognize the value of modeling and simulation, whether it’s the types of clinical pharmacology modeling that Cognigen has done in the past or the physiologic based PK modeling that GastroPlus enables, both kinds of modeling have been seeing an increase. And that’s represented in the number of new customers that we have each quarter, so I think that is a trend that will continue as we go forward.
Operator: Jack Wallace now has a few questions. “What percent of sales is to core simulations plus, or to CROs, and are you seeing increased interest from these types of organizations?” He also asks, “Has the [Wu Shi] relationship grown since that account signed on?”
John DiBella: The percentage of sales today from CROs is relatively small. It’s somewhere around 4%, but there is certainly an increased interest coming from these organizations. It seems as though a number of their clients are asking for QSAR or PB/PK modeling and simulation services. And so they have approached us wanting to learn a little bit more about licensing and especially I think wanting to learn a little bit more about training and education opportunities, because there is still that hurdle of making sure that these CROs have people on their staff who can utilize the tools appropriately. So there’s definitely some increased interest over the last six months to a year or so. And then the Wu Shi relationship is in fact growing. Hopefully very soon we’ll be closing on another contract with them where they’re going to be adding some licenses of other products.
Operator: Here’s another question from Jack Wallace. “Have there been any changes to the competitive landscape in the last year? Also, any notable transactions worth mentioning?”
Ted Grasela: The pharmaceutical companies continue to consolidate, but the number of drug development programs that are actively underway has been increasing in that face of consolidation. So in terms of the numbers of programs that require support, that has been a fairly healthy pipeline for the pharmaceutical and biotechnology companies. I don’t know that there’s any change that’s going to happen in that landscape going forward, other than what we’re already seeing now. I don’t see anything different from what I see now.
Operator: We have a question from Richard [Magnuson]. “What percent of revenue was attributable to each of GastroPlus and ADMET for the fourth quarter? And what is the percent expected to be attributed to each for the current year?”
John Kneisel: I’ve got the numbers here. On a consolidated basis, GastroPlus was about 44% of the revenues and ADMET was about 15%. Of Simulations Plus, it was 62% and 20% for the quarter. I don’t see those changing that much, John.
John DiBella: No, I don’t think so. In fact, with the new features coming out in the next releases of the software, I would expect those percentages to hold, if not increase slightly.
Operator: Here’s a question from Brendan Rose. “You said ADMET Predictor is one of about 15 QSAR offerings on the market. More crowded than GastroPlus. Assumedly, QSAR would be healthier if it consolidated large user bases, [sped] innovation, and reduced unit costs. Regarding market share consolidation, what’s happening? What are the obstacles, and how does SLP see this shaking out long run?”
Ted Grasela: This is similar to the question that we had previously in terms of market consolidation in the pharmaceutical and biotechnology industry. Again, I think that companies have been consolidating but it’s been leading to more and more drug development programs that are actively underway. In terms of ADMET Predictor being in a crowded marketplace, it is true. However, one of the real strengths of Simulations Plus has been the close collaborations that the company scientists have had with the users of the software. In the last year, we’ve had a wonderful collaboration with Bayer Healthcare that led to a dramatic improvement in the accuracy of our predictions for certain properties of molecules from their structure. And so that has led to continuing discussions with other companies trying to replicate that improvement in accuracy by collaborations with Simulations Plus. And we certainly encourage those sorts of collaborations and are actively looking for them as a way of differentiating our products from others.
Walter Woltosz: Let me step in a little bit on that too. We always are on the lookout for good acquisitions. This field’s 15 or perhaps even 20 other organizations providing QSAR programs are more competitive than complementary. In other words, they’re predicting the same things we’re predicting, but with less accuracy. Unless such an acquisition would consolidate their revenues and earnings into ours, rather than taking them out of the market and having their market share spread out over all of the other competitors, unless that were to happen, then it really wouldn’t make sense for us to acquire, and of course the price would have to be right, and so on. So we keep an eye out for the potential for good acquisitions along that line in all of our lines, but to date, we just haven’t seen anything that’s been a good fit.
John DiBella: And I’m sorry, if you don’t mind, I’ll also throw in one additional comment that we do have some extremely valuable IP in terms of the QSAR models and their predictive accuracy, as Ted alluded to. And so we have also been engaging in some discussions with a few of these companies to see if there are any sort of distributorship or licensing of our models inside of their technology, any sort of agreements that could potentially be beneficial to both sides. So I think we’re also looking to see if there are ways in which we can expand our reach of our QSAR models inside of some existing platforms that scientists seem to like quite a bit.
Operator: Howard Halpern had one other question, and that is, “What is the gross margin on the KIWI software offering?”
Ted Grasela: We have only three licenses out to date, and they vary in complexity and size. And I think I’d prefer to not answer that question until we get a few more sales under our belt, and we can tell what the typical size of the sales are going to be.
Operator: Melvin [Lamar] has a question concerning a recent “60 Minutes” piece. “Duke University is doing tests using the polio virus as a possible cure for cancers such as glioblastoma, lung, and breast cancer. Is Simulations Plus involved in the research of this possible cancer cure? Also, is Simulations Plus involved in approval by the FDA to conduct the research?”
Ted Grasela: GastroPlus and the majority of our software are targeted towards small molecules. The exception would be the new modules, which we’re about to release, that deal with large molecules, proteins and antibodies. I’m not familiar with the study, but I believe if that they’re using the polio virus, it would have to be to change the genetic makeup of the cancer cells. And so I’m not sure that I would see an application of our software in that particular treatment stream. I don’t know, Walt, if you know anything more about that?
Walter Woltosz: This is news to me. I’m not familiar with that study. To my knowledge, we were not involved, and I don’t believe Duke was using any of our software for that particular study.
Operator: Walter [Ramsley] has a few questions. His first is, “The $124,000 earned by Cognigen in Q2, is that pretax or after-tax?”
John Kneisel: That’s after tax.
Operator: His next question, “Also, how much corporate overhead expense was charged to Cognigen in Q2?”
John Kneisel: There’s very little expenses between the companies. They’re all pretty much standing on their own at this point.
Operator: Jack Wallace has another question. “To clarify, have there been any transactions in the biosimulation software space or notable clinical trial informatics company transactions?”
Walter Woltosz: If you’re referring to in general, have there been any, there certainly hasn’t been any that we’ve been part of. I’m not aware of anything major in any of these at this point.
Operator: Brendan Rose has another question, back to the QSAR. “Would it be fair to assume that among the 15 QSAR offerings, some natural consolidation is occurring as SLP and a couple of other firms outgrow the laggards? In other words, consolidation through differential growth?”
Walter Woltosz: John D, have you seen any of the smaller companies start to fade away?
John DiBella: I think so. If not fade away entirely, then they’re at least not being considered as strongly during evaluations and testing. So I think that’s a fair assumption to make.
Operator: Richard Magnuson has another question. “It seems that consulting is at approximately one third of revenue as guided at the end of Q4. Can we expect the consulting will continue to be one third of revenues into fiscal year 2016?
John DiBella: I think that’s pretty accurate. I don’t see the consulting revenue being more than one third of the total revenue, at least in the near term.
Walter Woltosz: I think one possibility is that software sales could end up trending a bit stronger with the new capabilities that are coming out. And if we head something off with the Aero Modeler and MRI Modeler, it’s possible that consulting could, as a percentage, decrease. But as a dollar amount, we seem to be growing.
Operator: Eugene Robins has sent a couple of questions. His first question is, “When people roll off the software, are they lost due to just attrition or is [Sutara] taking share?
John DiBella: Certainly attrition. The renewals that were lost in this particular quarter all because of site closures or companies exiting the pharmaceutical business altogether. In fact, we did lose one relatively large order, high five figures, that we knew about back in September, when news came out that they were going to be getting out of the pharmaceuticals business. So if you disregard that order, renewal revenue was coming in at a rate of 97%. So it’s usually just going to always be due to attrition, not lost to competition.
Operator: And Eugene had one other question in relation to that. “Has that changed at all since the acquisition?”
John DiBella: No, I don’t think so.
Operator: Okay, well, that appears to be all the questions.
Ted Grasela: Okay, if there are no other questions, thank you all very much for your attention, and I look forward to sharing third quarter results with you in three months. Thank you.
Renee Bouche: Thank you, Ted. Before we let you go, we just want to mention that we are planning to present at the 16th annual B. Riley and Company investor conference in Hollywood, California, May 12 to 14. So we hope to see some of you there. This concludes today’s conference call and webinar. If you missed any part of today’s presentation, the replay will be available at our website, www.simulations-plus.com. Thank you for joining us, and have a wonderful afternoon.